Operator: Good afternoon, and welcome to Funko’s 2025 First Quarter Financial Results Conference Call. At this time all participants are in listen-only mode. Later we will conduct a question-and-answer session and instructions will follow at that time. Please be advised that reproduction of this call in whole or in part, is not permitted without written authorization from the company. As a reminder, this call is being recorded. I will now turn the call over to Funko’s Director of Investor Relations, Rob Jaffe. Please proceed.
Rob Jaffe: Hello, everyone, and thank you for joining us today to discuss Funko’s 2025 first quarter financial results. On the call are Cynthia Williams, our Chief Executive Officer; and Yves LePendeven, the company’s Chief Financial Officer. This call is being broadcast live at investor.funko.com. A playback will be available for at least one year on the company’s website. I want to remind everyone that during the course of this call, management’s discussion will include forward-looking information. These statements represent our best judgment as of today about the company’s future results and performance. Our actual results are subject to many risks and uncertainties that may differ materially from those stated or implied including those discussed in our earnings release. Additional information concerning factors that could cause actual results to differ materially is contained in our most recently filed SEC reports. In addition, during this call, we refer to non-GAAP financial measures that are not prepared in accordance with U.S. Generally Accepted Accounting Principles and may be different from non-GAAP financial measures used by other companies. Investors are encouraged to review Funko’s press release announcing its 2025 first quarter financial results for the company’s reasons for presenting non-GAAP financial measures. A reconciliation of the non-GAAP financial measures to the most directly comparable GAAP financial measures is also attached to the company’s earnings press release issued earlier today. I will now turn the call over to Cynthia Williams. Cynthia?
Cynthia Williams: Thanks Rob. Good afternoon everyone and thank you for joining us. Let me start with some context. We came into 2025 with a clear eyed view. The first half of the year would be about setting a stronger foundation for Funko, attracting new fans with intentional diversification into sports, gaming and music and selling where the fan is through improved retail opportunities and experiential engagements, all of which are designed to delight new and core collectors. But the pace and intensity of change in the macro environment has accelerated. It’s amplified existing challenges and compressed the timeline for making tough, necessary decisions. Even so, our strategy is sound and more importantly we’re executing it. We’re staying disciplined, moving with speed and adjusting in real time to protect the business while continuing to invest in what’s working. That resilience showed up in Q1. We delivered net sales of $191 million in line with guidance. Gross margin was 40% and adjusted EBITDA came in at a negative $5 million, both ahead of expectations. Before I outline our tariff mitigation efforts, it’s important to note that international performance continues to be a strength. According to Circana market research, Funko is gaining share among consumers internationally and outpacing the broader toy market. In Europe’s G5 combined markets, where overall toy POS growth was just 1%, Funko grew by 8%. We’re also expanding our global footprint with licensed and partner stores now operating in the United Arab Emirates and China and with a newly announced location in the Philippines, marking our first physical presence in Southeast Asia. The Philippines has been one of our strongest performing markets in Asia and this licensed store represented a commitment to selling where a passionate fan base lives. These are indicators that in more stable economies outside of the U.S., the roadmap we’ve built is gaining traction. We’re gaining share, expanding reach and taking disciplined action to strengthen the foundation of the business and that is giving us confidence. However, in the U.S. the pressure we faced in Q1 from tariffs to more selective consumer behavior have intensified in Q2. Given these complexities and the uncertainty related to the implementation of global tariffs, we are withdrawing our 2025 outlook. We believe this is the most responsible course of action given how quickly these variables are shifting. That said, we continue to focus on the outcomes we can control. So let me tell you about what we’re doing to mitigate the impact of tariffs. When the tariff announcement was made on April 2, we immediately consulted our retail customers and subsequently paused most U.S. bound orders out of China for direct import partners as we worked collaboratively on tariff mitigation activities. While this will clearly impact our second quarter, we believe our quick tariff mitigation efforts position us to enter Q3 with strong partners and agile logistics. Fortunately, we began diversifying our supply chain footprint as early as 2017, building relationships with a network of strategic partners across Vietnam, Cambodia, Indonesia, and beyond. Over time, we’ve established a more agile operating model, one that we believe enables us to respond to volatility without compromising long-term strategy. In April, we launched a cross functional tariff task force led by our new SVP of operations, Cliff Engle, bringing together leaders across sourcing, finance, legal, and commercial with a mission to protect margins, preserve liquidity, and optimize every lever within our control. Here’s what we’ve done and what we’re doing now. We’ve accelerated sourcing diversification to countries like Vietnam and Cambodia. Due to strategic and long-standing manufacturing partnerships, we quickly secured enough capacity that enable us to reduce the manufacturing of U.S.-bound products from China from a third to approximately 5% by the end of the year. This is far faster than originally planned. We’ve also taken a holistic approach to cost discipline throughout the business, achieving annualized reductions across product cost, supply chain, and fixed expenses. This includes reducing operating cost, including reducing our global workforce by more than 20% over the course of 2025 with the majority already implemented to date. Renegotiating pricing with ocean freight partners with a 100% of our volume locked in at contracted rates and a focused SKU rationalization effort to eliminate low margin, lower velocity items. All of this sharpens our cost structure and gives us greater agility to respond to shifting demand without compromising execution. Beginning in July, we’ll implement pricing changes originally planned as part of our 2025 product repositioning. As tariffs and the subsequent rising cost escalated, we carefully considered whether a further price increase would be necessary, but ultimately, we chose to hold the line. Staying true to our fan first approach, we continue to believe that collecting should still be fun and accessible even when the world gets more expensive. By holding the line on pricing while continuing to invest in value, we know we’re protecting what matters most, the fan experience. Investments in sculpt quality, packaging, and authentication continue, because we believe better value doesn’t have to mean higher cost. As we continue to navigate this complex trade environment, we also want to acknowledge the broader impact this moment has on our industry. Funko is proud to be part of the American creative economy. Our products are developed by teams across the United States from design, to licensing, to digital, and we work with hundreds of domestic partners who depend on the stability of this economy to drive jobs, innovation, and fan engagement. We support the Toy Association’s advocacy for zero tariffs on toys and collectibles, and we stand with our peers in urging for free and fair trade policies that preserve creativity, accessibility, and the millions of emotional connections that fans make with our products every day. Toys and collectibles aren’t just goods, they’re cultural touchstones, they inspire self-expression, innovation, and community. As one of the most culturally relevant players in our category, we take seriously our role not just as a licensee, but as a trusted brand partner. We’re working closely with partners to find shared solutions that reduce the impact of tariffs from logistics and manufacturing, to product design and the end consumer experience. The silver lining, we believe these collaborations have strengthened key relationships that will help propel our business forward. Combined, these actions across our global network and business make each dollar work harder, positioning us to deliver for the fan, while maintaining the quality they expect from our products. Even in a disrupted environment, we’re seeing clear evidence that our strategy is working. POS data, fan response, and partner feedback all point to continued traction, especially around new formats, differentiated IP, and more targeted storytelling. Let me share a few examples of where that momentum is showing up across our ecosystem. Our direct-to-consumer business remains a critical pillar of our long-term strategy, particularly as a source of fan engagement, margin strength and first-party data. Our Fan Rewards loyalty program continues to grow, engaging our most valuable fans who spend more, return more often and have a stronger connection with our brand proposition. As we continue to scale Pop! Yourself and refine personalization through our newly launched customer data platform, we see this segment playing an outsized role in driving both profitability and brand advocacy. And perhaps, one of the clearest green shoots is in sports. In the first four months of 2025, we launched Pop! Yourself at NBA All-Star Weekend with 100% sell-through, expanded into new team stores across Major League Baseball, the National Football League, and the National Basketball Association. We launched a limited edition Pop! of Alex Ovechkin within hours of his record-breaking goal. And yesterday, we announced our first-ever WNBA Pop! figures launching with A’ja Wilson, Angel Reese, Breanna Stewart and Caitlin Clark. And while this wasn’t by our design, we were delighted to see JuJu Watkins Pop! sitting courtside, during March Madness, standing in for the athlete herself while she recovered at home. It was a viral reminder of how deeply our fans connect with the stories behind our figures. The intersection of fandom and sports continues to grow and Funko is well-positioned to participate as a leader in the sports collectible space. We’re still in early innings that signals for continued growth are promising. At Funko, we built a business that moves fast, adapt smartly and thinks long-term. In Q1, we proved that again. Even amid uncertainty, our team delivered better-than-expected results, stayed disciplined and continued investing in the future. This is what execution looks like, measured, creative and fan burst. Yves will now walk you through our financials.
Yves LePendeven: Thanks, Cynthia. Hey, everyone. Thanks for joining us today. For the first quarter, total net sales were $190.7 million, which was within our guidance range. Direct-to-consumer sales comprised 22% of our gross sales, which is comparable to last year’s first quarter. It’s worth noting that shipping delays on products crossing the Mexico border hampered sales of Pop! Yourself in Q1. Gross profit was $76.9 million, equal to gross margin of 40.3%. SG&A expenses were $84.8 million, which was well below our guidance range. Adjusted net loss of $17.8 million or $0.33 per share was better than expected. And finally, negative adjusted EBITDA was $4.7 million, also better than expected. Turning to our balance sheet. At March 31, we had cash and cash equivalents of $25.9 million. Total debt was approximately $202.2 million, up $19.4 million from the end of the previous quarter. Net inventory was $87.7 million, down from $92.6 million at the end of Q4. And total company liquidity was $90.9 million, a decrease from $124.7 million at the end of Q4. Turning to our outlook. As Cynthia mentioned, we have decided to withdraw our formal 2025 full year outlook. The ongoing changes to global tariff policies as well as uncertainty about the macroeconomic environment make it difficult to provide reliable projections. However, I will provide a couple of high-level thoughts on our future performance. For the second quarter, we expect our results to be negatively impacted by the effect of the tariff policies, both in terms of the tariffs themselves on our cost of goods sold as well as the disruption to sales related to direct import orders out of China. Because of this, today’s 10-Q filing includes disclosures about the company’s ability to continue as a going concern. At this time, we are in compliance with our debt covenants, and we have ample liquidity to operate the business. We have begun discussions with our lenders to obtain covenant relief in Q2, and we are evaluating strategies to refinance our debt. We are highly confident we will resolve this issue. Turning to the second half of 2025. We expect our performance to improve compared with the first half based on the following. Most importantly, we expect to fully offset the impact of incremental tariffs within the year. At current rates, we estimate the incremental tariff costs to represent approximately $45 million. The offsets are driven by actions within our control, including accelerating our sourcing diversification initiatives, implementing price increases and reducing costs. Additionally, in the U.S. market, we’re working closely with our largest customers to resume shipping direct import orders out of China. Finally, we also believe our international business, which represents more than one-third of our sales, will continue to gain momentum. Cynthia, that’s it for me. Back over to you.
Cynthia Williams: Thanks, Yves. Before we open it up for questions, I want to reiterate that while we’re navigating a challenging macro environment, we’re also seeing the upside of our actions. We’re strengthening partnerships, sharpening our focus and moving with greater speed and clarity about what matters most, delivering for our fans. I want to thank our teams, our partners and the fans who continue to show up for this brand. It is because of their support that we remain focused. We are moving fast and we’re building for the long-term with our community alongside us every step of the way. With that, let’s open the line for questions.
Operator: Thank you. [Operator Instructions]. Our first question today will be from the line of Antares Tobelem with Goldman Sachs. Please go ahead. Your line is open.
Antares Tobelem: Hi. This is Antares on for Stephen and appreciate you guys taking the questions.. You guys talked through a lot of mitigation efforts you’re taking in response to the current tariff situation. Can you offer any extra color on what some of these actions look like in practice, and particularly when it comes to passing through price adjustments? And maybe to the extent that you’re already having those conversations, can you talk about what changes you’re seeing in retailer sentiment or purchase patterns coming out of Easter? Thanks.
Cynthia Williams: Antares, thanks for the question. First, I’d say the pricing that we’re doing was a decision that we’ve made back in January. So we’ve had the benefit of talking to our retail partners about this for several months now beginning back around the time of New York Toy Fair. Positive part of that was that we were able to talk about where we were positioned versus other collectibles. And the sentiment was generally that in Pop! Culture Collectibles, we’re still a fantastic value and priced below comparable competitors. And so they have been aligned to this price point since early January. As the tariffs came in, we continued conversation with them as we discussed, should we go higher. And we really received not only a lot of support for not going up, we entered into some healthy discussions about how to hold the line on that pricing. And so if anything, it’s deepened some partnerships with those retail partners. So that’s the color there. The Pops! will be priced at $14.99, and that’s the price point that our exclusives have been – being sold at. That’s our suggested retail price. So it’s a price increase versus the $12 price that non-exclusives had, but it’s the same price of what we did with exclusives. And we’re investing some of that and improving the quality of the scopes in the packaging and in the fan experience.
Antares Tobelem: Awesome. And maybe just as a quick follow-up. Can you also talk maybe more about the POS trends that you’re seeing so far in the quarter and maybe what you’re looking for over the next few months in terms of trends there to maybe gain a bit more confidence in the rest of the year?
Yves LePendeven: Sure. I’ll start with the U.S. market. Obviously, that’s the focus. We’ve talked in our last couple of calls about consumers looking for value being a little bit more choosy. We’ve actually seen some encouraging trends in the U.S. market for our larger retailers. The year-to-date POS has been down mid-single-digit. Part of that, I would say was driven by certain mass partners that we’ve had. There were some softness in footfall and some boycotts earlier in the year. We’ve actually seen an improvement to that trend. For the past four weeks, we’ve actually been up low-single-digit POS in the U.S. so that’s a very encouraging trend. And in Europe, which I’ll point out again, is over a third of our business. We continue to see good POS high single-digit comps year-over-year, and that business is gaining momentum.
Cynthia Williams: And I know we said it in the script, but it’s worth pointing out that POS sales in Europe’s G5 markets actually outpaced the toy industry in Q1. We were at 8% up in POS as reported by Circana, and the toy industry was up 1%.
Antares Tobelem: Great. Thank you.
Cynthia Williams: Thank you.
Operator: The next question will be from the line of Keegan Cox with D.A. Davidson & Co. Please go ahead. Your line is open.
Keegan Cox: Hi, this is Keegan. Thanks for taking my question. So I kind of just wanted to get some clarity on the pricing. So those prices were already planned for the year. They weren’t in response to the original 20% tariffs, right?
Cynthia Williams: That’s correct. Hi Keegan, it’s nice to meet you virtually, by the way. Welcome to the call.
Keegan Cox: Yes, nice to meet you as well. Perfect. And then just a follow-up on margins. I was wondering if margins came in kind of above your expectations, and if you guys could go through the drivers of that.
Yves LePendeven: Sure. Yes, nice to meet you, Keegan. Yes, our gross margin came in slightly above the high end of our guidance range. I would just point out that in Q1, there wasn’t really much of a tariff impact in the quarter. We saw across the board just slight improvements over what we had forecasted, both in terms of our product margins, our inventory reserves and our discounts and allowances. So just nothing – no major driver to call out, but everything kind of came in line or slightly better than what we were expecting for Q1.
Keegan Cox: Great. And then one more, if I can. I noticed the 20% headcount reduction. You said most of that has already taken place. That’s really only a 1Q benefit, I guess. But as we look forward, how should I think about it?
Cynthia Williams: The way I think about it, Keegan, is we had a – sorry, yes, it will show up in the cost savings. We had a action that took place in March and then another that took place yesterday, which I have to say was quite challenging for the management team, and of course, most importantly, for the employees where we have friends and colleagues and fans who helped build Funko who aren’t with us anymore. And so that’s a very difficult decision. That is the majority of that 20%. The remainder of it is about things that we won’t be backfilling where we had some attrition or some hires that we had planned that we’re not doing. It will bring us down to finish out by 20%. So when you think about the benefit of it, a portion of it has already occurred in this quarter – in Q2, and you’ll see more of it throughout the remainder of the year.
Keegan Cox: Thank you.
Cynthia Williams: You are welcome.
Operator: With no further questions on the line at this time, I will now turn the call back over to management for any closing remarks.
Cynthia Williams: Well, thank you, everyone for joining us today on the call. We look forward to sharing our progress with you when we meet next time. Thanks so much.
Operator: This will conclude Funko’s 2025 First Quarter Financial Results Conference Call. Thank you to everyone who joined us today. You may now disconnect your lines.